Operator: Welcome to MasTec fourth quarter 2008 earnings conference call, initially broadcast on March 3, 2009. Let me remind participants that today’s call is being recorded. At this time, I would like to turn the call over to you Mark Lewis, MasTec’s Vice President of Investor Relations. Please go ahead sir.
Mark Lewis: Thank you good morning. Welcome to MasTec 2008 fourth quarter earnings conference call. The following statement made pursuant to the Safe Harbor for forward-looking statements described in the Private Securities Litigation Reform Act of 1995. In these communications, we may make certain statements that are forward-looking such as statements regarding MasTec’s future results, plans, and anticipated trends in the industries where we operate. These forward-looking statements are the company’s expectations on the day of the initial broadcast of this conference call and the company will make no effort to update these expectations based on subsequent events or knowledge. Various risks, uncertainties, and assumptions are detailed in our press releases and filings with the Securities and Exchange Commission. Should one or more of these risks or uncertainties materialize or should any of our underlying assumptions prove incorrect, actual results may differ significantly from results expressed or implied in these communications. In addition, we may use certain non-GAAP financial measures in this conference call. A reconciliation of any non-GAAP financial measures not reconciled in these comments to the most comparable GAAP financial measure can be found in our earnings press release or on the Investor Relations section of the website located at www.mastec.com. With us today, we have Jose Mas, our President and Chief Executive Officer and Bob Campbell, Executive Vice President and Chief Financial Officer. The format of the call will be opening remarks and analyses by Jose followed by a financial review from Bob. These discussions will be followed by our Q&A period and we expect the call to last approximately 45 minutes. Jose?
Jose Mas : Thank you, Mark. Good morning and welcome to MasTec’s fourth quarter and year end 2008 conference call. First, some fourth quarter financial highlights. Revenue for the quarter was $414 million, up 51% year-over-year and the highest revenue quarter in the company’s history. Earnings were $0.29 per share prior to a deferred payment to our previous CEO. This represents a 164% increase in EPS year-over-year. Revenue for the year was $1.379 billion and earnings were $0.96 per share. 2008 was an important year for MasTec. I’ve been very vocal over the past year and a half on our focus on accountability and margin improvement. Early on, we deployed better tools for measuring and tracking performance and we’ve seen the positive results of this effort in 2008. Productivity enhancement continues to be our greatest tool for margin expansion opportunity and we will remain focused on that objective. Our diversification efforts which commenced almost two years ago have also had a significant positive impact on MasTec. Altering our revenue mix, and margin profile and more importantly our positioning within the markets we serve. MasTec today is a very different company than just 18 months ago. We are now working for some of the strongest companies, serving some of the fastest growing segments of our economy. With the continued expansion of our electrical transmission and pipeline construction capabilities, our wireless capabilities and our position as one of the leading contractors serving the alternative energy markets, we are well positioned to take advantage of all of the significant growth opportunities in these markets. These are some of the most challenging economic times in our country’s history. Fortunately, MasTec is in a privileged position, capable of weathering the storm and prepared to be an active and contributing participant in those industries that will lead America’s economic recovery. In December of 2008, we acquired Wanzek Construction, a general contractor with over 30 years of experience serving the industrial and alternative energy markets. Wanzek will enable MasTec to build the bridges and levees, construct the bio-fuel plants, work on combined heat and power stations, erect the towers, place the rotors and wind turbines, install the electrical system and connect the wind farms to the grid. With the acquisition of Wanzek and MasTec’s existing wind and solar capabilities, we are uniquely positioned as one of the largest service providers in the alternative energy sector. Now I would like to cover some industry specifics. Our install-to-the-home market had a solid quarter as DirecTV recently reported that customer gains in the fourth quarter were their largest quarterly gain in years. While revenues from DirecTV were up year-over-year, we continue to see the positive affect our diversification strategy has had on revenue concentration. DirecTV accounted for a $120 million or 29% of total revenues in the fourth quarter of 2008 versus 44%, in the same quarter last year. In 2009, we expect continued growth from this customer. Effective February 1 of 2009, AT&T commenced offering DirecTV as a service to its customers. We expect this to have a positive impact on our DirecTV business, since we serve a large number of the markets being affected. Our communications market will face both challenges and opportunities in 2009. During the fourth quarter of 2008, we saw significant growth from both Verizon, up 47% year-over-year and AT&T up 239% year-over-year. While revenue was down for both Qwest and EMBARQ in the fourth quarter of 2008 versus 2007, Qwest, Verizon and AT&T were all up double-digits for the full year of 2008 versus 2007. While many of our communications customers have reduced 2009 CapEx levels, we do see some opportunities. Late last year, we were selected as one of the AT&T national Turf Vendors for wireless construction. Under the Turf awarded, we will be responsible for wireless activities in Florida, North Carolina, South Carolina, Tennessee, Kentucky, Alabama, Mississippi and Louisiana. While that business today primarily services AT&T, we believe the there are opportunities with other carriers and have enhanced our marketing efforts toward those customers. Our utility infrastructure services continue to make up a greater percentage of MasTec’s total revenues. This quarter utilities accounted for 36% of revenues, compared to 24% of revenues in the fourth quarter of 2007. We see two major areas of opportunities for our utility business, the first in transmission line and substation construction. Over the past few months, they need to improve the countries transmission grid has received significant attention from our representatives in Washington D.C and from the department of energy. While a number of large projects were previously slated to be built over the next few years, we anticipate this increase focus to positively impact both the quality of our energy delivery systems and MasTec’s opportunities to participate in this endeavor. 2008 was also a great year for our countries renewable energy efforts, as wind generation capabilities increased by more than 8300 megawatts during the year. Wanzek was a significant contributor in this effort, having generated annual revenues of approximately $400 million, $26 million of which were consolidated by MasTec for the month of December. Excluding Wanzek, our existing wind business generated roughly 9% of revenues in the fourth quarter and 7% for the year. While the end of 2008 was challenging for wind developers, we believe the long-term prospects for the wind energy industry remained very positive. President Obama has set goals of doubling our sources of renewable energy over the next three years and meeting 25% of the nation’s electricity needs from renewable resources by 2025. The first steps towards achieving these objectives were met with the passage of the stimulus bill. The stimulus package contains three key elements which should enhance activity in the renewable energy sector. First an unprecedented three year extension of the production tax credits through December 31 of 2012. Second, a loan guarantee program to facilitate direct project financing and finally enhancements to the investment tax credits, which will give developers access to 30% of the total cost of their projects. Recently, the American Wind Energy Association published that there is a pipeline of almost 300,000 megawatts of wind projects, enough to meet 20% of our electrical needs from wind. Again, the long term prospects for winds are strong and as a leader in this developing area, we are well positioned to take advantage of the opportunities afforded to us. Yesterday, we reaffirmed annual guidance and provided first quarter guidance of $350 million to $360 million in revenues and $0.14 to $0.16 of earnings per share. In summary, when I took over as CEO in April of 2007, I made a number of promises to our stakeholders. First and foremost, I promised to improve margins. Second, I promised to reduce customer concentration and diversify into higher margin growth areas and finally, I promised to strengthen our management team and its internal and external accountability to deliver better and more consistent financial results. I am proud to say that we have kept those promises and we continue to transform the company month-by-month. One common remark when we sit face-to-face with investors these days is that MasTec as an entirely different company than it was several years ago. Not everyone has been paying attention, but MasTec today is a growing, more profitable and better managed company from top to bottom. The future has never looked brighter for MasTec. I’ll now turn the call over to our CFO, Bob Campbell. Bob.
Bob Campbell: Thank you, Jose and good morning. As Jose mentioned, we had a terrific fourth quarter and frankly a terrific 2008, and we expect 2009 to be another excellent year for MasTec. My financial highlights are as follows. Q4 revenue was up 51%, it was led by growth in our utilities markets, where revenue more than doubled; Q4 was a record quarter, our highest revenue quarter ever and our best fourth quarter ever in terms of net income. Our customer concentration and diversification continues to improve. DirecTV was down to 29% of total revenue for Q4 that compares to 44% a year ago and a peak of 47% in Q1 2008. We only had one month of Wanzek revenue in Q4, but on a pro forma basis, with Wanzek, revenue included for all three months of the quarter. The DirecTV concentration would have been down to 24%. The reduction in customer concentration is caused by the growth in wind farm, natural gas and wireless revenue. Q4 G&A expense as a percent of revenue continued its downward trend it was 5.6% for Q4, versus 6.6% last year. Q4 EPS was $0.26 per diluted share, compared to $0.11 last year, so we more than doubled the prior year quarter just as we did for Q3 and we had one unusual item negatively impacting Q4. We took a $0.04 per share charge for the retired CEO’s final compensation payment. The majority of the charge was non-cash. Our full-year 2008 numbers were also very good. Revenue was up 33% for the year and reached record levels as did net income. Continuing operation to EPS was $0.97 for 2008, compared to a pro forma $0.67 last year. The 2007, pro forma backs out the $39 million legacy litigation charge to be operationally comparable. 2008 was a really clean year, but we did have $0.04 negative impact for our retired CEO’s final compensation payment. Therefore, 2008 pro forma earnings of $1 per share are comparable to the $0.67 for 2007. It is worth noting that our original 2008 earnings guidance was $0.85 to $0.90 and our actual came in much higher. We acquired Wanzek, a $400 million wind farm and industrial construction company in December. We have made four acquisitions in the last year or so, add good values and we are excited about their progress to-date. Our financial condition and liquidity remain strong. I’ll drive a little bit about that later. Our guidance remains unchanged, our 2009 guidance remains unchanged from what we issued in October and reaffirmed in December. That’s 2009 revenue of $195 billion, $1.95 billion, to $2 billion, which is revenue growth of 41% to 45%. Diluted EPS for 2009 is $1.05 to $1.15, compared to $0.96 for 2008. There are two issues that are significantly lowering the 2009 EPS. The first issue is a big increase in the mostly non-cash book tax accrual and the second issue is a big increase in the non-cash amortization expense for acquisition related intangible assets. I’ll cover both of these issues in detail later. Now for the details; Q4 revenue was up 51% to $414 million and fully diluted earnings per share were $0.26, compared to $0.11 last year. We saw an acceleration of revenue with wind, natural gas and wireless customers. The Q4 G&A expense continued to improve from 6.6% for 2007 down to 5.6% for 2008. Some of this comes from the benefits of scale, with our revenue growth plus our focus on controlling G&A costs. Also, outside legal fees we’re only $300,000 this quarter, compared to $1.2 million for the fourth quarter a year ago; reflecting finally the wind down of legacy litigation that we have been predict. Net interest expense for Q4 was up about $2.5 million or $0.04 per share worse, due to some acquisition debt and lower interest income. I’ll cover our debt and capital structure in a moment. For the fourth quarter of 2008, the 10 largest customers were DirecTV, 29% of revenue, down from 47% in Q1 and 44% last year. AT&T at 16%, the growth was held by our Nsoro Wireless acquisition. Tetra Tech, a wind farm customer 8% of revenue, Verizon 7%, ONEOK, a natural gas customer at 4%, Duke Energy and other wind customer at 2%, Progress Energy 2%, SandRidge Energy another natural gas customer at 2%, EMBARQ 1% and Qwest 1%. Regarding diversification, our top 10 customers now include one satellite television customer, four telecom customers, two wind farm customers, two natural gas pipeline customers and one electrical utility customer. Today, backlog is $1.7 billion and that’s an 18 month backlog number. The comparable number a year ago was $1.3 billion, one comment about backlog, even though we believe that fiber deployment work will last for many years, our backlog includes only the specific work for which we have current visibility. Now, let me talk about our cash flow, our financial condition and balance sheet. Fourth quarter cash flow from operations was $16 million following a very robust $29 million in Q3, while we had really good cash earnings in the fourth quarter, with EBITDA up $33 million. Our cash flow from operations was hurt by some investment in working capital. We elected to pay some of our wind and other utilities sub-contractors in advance of our first quarter accounts receivable collections. Our cash flow continues to be helped by our tax position. Currently, we have a federal tax net operating loss or NOL of $185 million, which we can carry forward against our future cash tax liabilities. Regarding cash taxes, we expect to pay very modest cash taxes for 2008 and for 2009. We expect to pay less than $1 million in cash taxes for 2008. We expect to pay only several million dollars for 2009. Be a partial taxpayer for 2010 and then we may be a full or almost full cash taxpayer in 2011. Our tax position really helps our cash flows in 2009 and 2010. At year-end, our accounts receivable day sales outstanding or DSOs were 62 days, that’s pro forma using Wanzek’s revenue run rate. The modest upward drift in DSOs during 2008 has mostly been due to changes in our end markets and customer mix. We clearly have more longer duration construction projects now which often have a little higher DSOs and also we have had a significant ramp up of our wireless business with generally higher DSOs. Given our current business mix, our short-term DSO goal is now 60 days or better. It is worth noting that while we want to reduce our DSOs further, I believe that our public peers, DSOs range from about 65 days to 90 days. Share one other piece of information about cash flow; let me address our capital spending. After spending $35 million in CapEx during 2008, we do see increased capital spending for 2009 and beyond. We are now much larger in size and our wind farm and natural gas pipeline businesses are more capital intensive than the historical core MasTec businesses. Therefore we now see CapEx spending for 2009 to be in the 40s. We don’t expect to hit or exceed $50 million unless we see a surging business. We are not trying to forecast today to 2009 impact of the stimulus legislation on MasTec, but it can certainly drive up CapEx spending to higher levels. We just don’t know yet, how much the stimulus legislation impacts 2009. We will provide more insight on CapEx in the future, as we get more familiar with our two new more capital intensive businesses and as we sort out the stimulus impact. To summarize our cash flow characteristic, I’d say this EBITDA is going up dramatically, elections at 62-day DSOs are reasonable; CapEx in the 40s is modest and our tax payments are immaterial. Therefore, our cash flow will be very good. At the end of the year we had a strong financial position, with cash securities available for sale and the availability of the company’s credit facility of a $150 million. $18million of the cash is restricted. Now let me talk about our capital structure. Personally I’m pleased with our year end capital structure and our structure after funding the big Wanzek acquisition. At year end we had $443 million in equity, $304million of total debt, only $257 million in net debt, that’s net of cash and we estimate $180 million to $200 million of 2009 EBITDA. Therefore all of our balance sheet and credit ratios are in good shape. In addition we paid our revolver down some since year end and have had good cash collections. So, that our net debt to-date is about $235 million that’s total debt minus cash. Now let me go into more detail about our capital structure. One comment that I’d like to make is that we are blessed. All of our debt is reasonably priced, actually very affectively priced and secondly, half of our debt matures in 2017 and most of the rest matures in 2013. We had $42 million in draws on our bank revolver at year end, although it’s been reduced since year end, to only $20 million today. We were fortunate last July to expand the revolver from $150 million up to $210 million, also we extended the bank loan and maturity until 2013 and it is very attractively priced at LIBOR plus 250 or prime plus 125. It is worth noting that our year end cash balance of $47 million was greater than the outstanding revolver balance. We have a $57 million in other debt; the other debt consists of normal course, equipment financing and capital leases. While there are modest maturities of this debt in 2009; they will likely be replaced by new normal course equipment financing and capital leases. I mentioned a moment ago our $55 million convertible note from the Wanzek acquisition. Footnote three in the10-K describes the accounting for that note in terms of earnings per share. We use what is called the if-converted method and we compute the EPS impact of treating the convertible note first as a simple 8% note and then we compare that calculation to treating the note as if it had been converted in to equity and then we select the least favorable calculation for EPS purposes. What that means for 2009 is that we add back the $4.4 million of interest on the note, adding back to net income and that’s tax affective and then we add the converted shares, which is $4.6 million shares to the share count. The if-converted EPS calculation is always going to be a little bit more negative. For 2008, the calculation had no impact on EPS, since we bought Wanzek on December 16. Future 10-Qs and 10-Ks will always have a footnote showing this alternative calculation. In our year end balance sheet, we have $21 million of securities available for sale, which are our auction rate securities. We have taken a $13 million life to-date temporary impairment charge against equity to reflect the estimated market value of these securities. We continue to monitor the market value and liquidity for these securities. In our litigation footnote in the 10-K, we did disclose that we have filed a binding arbitration claim against Credit Suisse, our investment manager. In our arbitration claim we are asking that Credit Suisse buy back of auction rate securities at par, which is $34million. The arbitration is currently scheduled for May. Now for our guidance update. As I mentioned we are today reaffirming the 2009 revenue and earnings guidance that we issued in October and reaffirmed in December. Our 2009 guidance is revenue of $1.95 billion to $2 billion and $1.05 to $1.15 per diluted EPS. That’s revenue growth of 41% to 45% and EPS growth of 9% to 20%. I’d like go into some detail about the two items that are negatively impacting our 2009 EPS. First we have a much higher book tax rate for 2009 and second we will have much higher amortization expense of acquisition related intangibles. Note that the amortization is non-cash and almost all of the tax expenses also non-cash because of the NOL’s. Our book tax rate on the P&L for 2008 was 1% and we now expect the 2009 book tax rate as a percent of pretax earnings to be in the low 20s. Also our amortization expense of acquisition related intangibles will grow from less than $4 million in 2008, to about $9 million for 2009. The impact of the jump in tax rate and an amortization expense significantly impacts EPS. In fact these two items have a roughly $0.30 to $0.45 negative impact on 2009 EPS. That’s why we wanted to highlight the growth in EBITDA from $110 million in 2008, up to $180 million to $200 million in 2009, that’s a year-over-year increase of 63% to 82%. Now I’d like to make a couple of comments about the profit margins implicit in our 2009 guidance and about our profit margin trends. First let me talk about pretax margin, which we think is useful since we do not currently pay any significant amount of cash taxes. Our pretax profit margins have grown from 4.4% for 2007 to 4.9% for 2008 and the margin in our 2009 guidance is 5.5% to 6% and note that the 2009 pretax margin is burdened with $9 million of non-cash amortization of acquisition intangibles. Our EBITDA margins have grown from 7% in 2007, to 8% in 2008 and the EBITDA margin implicit in our 2009 guidance is 9.2% to 10%. It is worth noting that when Jose Mas took over as CEO almost two years ago, he said that our short to medium term pretax profit margin goal was 6% to 8% and the upper end of our 2009 guidance hits that goal. Now let me switch gears for a moment and address seasonality, as it impacts quarterly earnings. As I said earlier, we have become more seasonal for several reasons and going forward you should expect proportionately less of MasTec’s full year earnings in the first quarter. Before I go through the reasons for our increasing seasonality, please keep in mind that MasTec has always been some what seasonal with relatively low earnings in the first quarter. Historically, we have had soft first quarter’s because of winter weather and because some of our customers are slow in finalizing their New Year spending budget and even slower in giving out the work. Now let me tell you the reasons why we are more seasonal to-date than we used to be. First, we now have proportionately far more business in Northern areas than we used to. WanZek is a Fargo North Dakota based company with great operating strength especially in the Northern Midwest and our power partners wind business is also generally in very northern areas via our three phase electrical transmission acquisition, we now do significant work in New England. Therefore our revenue base has switched for a more than Northern presence versus our previous mostly Sun Belt revenue base. Secondly historical revenue pattern for our new wireless business reflects a slow start to the year. Each year with revenue accelerating as the year goes on and that is what we expect to happen also in 2009. Third, we now have proportionately higher levels of depreciation and acquisition amortization, which is straight-lined of course and therefore it will be more of a drag on our lowest revenue quarter than the other three quarters. Depreciation is proportionately up as we become a little more capital intensive with our business mix and finally, there clearly have been some projects delayed, so, that that our customers could find the best way to get the most out of the stimulus package. I’ve gone in to quite a bit of detail on seasonality, but I thought you needed to know more about our changing characteristics. With that long preamble the Q1 guidance, we now see revenue for the first quarter of 2009 to be between $350 million and $360 million. With diluted earnings per share ranging from $0.14 to $0.16 and that’s up from $0.12 for Q1 2008. Our shift in seasonality in no way impacts our view of full year guidance. We just see shifts among the quarters. The company’s guidance assumes continuation of today pretty awful economy and is not dependant on a recovery. On the other hand it does not assume an economy getting significantly worse than today. Our guidance also does not include any additional impact of our legacy litigation or any mark-to-market valuation adjustments on auction rate securities. These items are excluding either positive or negative. In closing, just to echo what Jose said, we had a great fourth in 2008 and we also expect to have an even better year in 2009. Our revenue is growing; diversification is putting more reliability in a greater spread of risk in to our business model. We will continue to reduce costs and become more efficient and we expect improved earnings, improved margins and improved cash flows. That concludes my remarks, now let me turn the call back to the conference operator for the Q-and-A session.
Questions and Answers:
Operator: (Operator Instructions) Your first question comes from Alex Rygiel - FBR Capital Markets.
Alex Rygiel - FBR Capital Markets: Couple of questions; first is there anything to learn as it relates to the mix in backlog, is that any different than maybe the historical trends in revenue?
Jose Mas: No with the exception, Alex, we are obviously in a lot of new businesses so the new businesses are pretty represented at percentage of that revenues. So it’s pretty close to the percentage of the revenues of the business. Not huge shifts from a backlog versus where we saw them from a revenue perspective.
Alex Rygiel - FDR Capital Markets: Noting that Tetra Tech was a large wind customer, can you give us additional color on possibly what the customers were underneath the Tetra Tech umbrella? How you expect that relationship to develop over the coming years?
Jose Mas: As we look at our wind business in both the Wanzek transaction and our original entry into the wind side. We are going see a lot of customer rotations. So, you are going to have a lot of customers that have a significant number projects, one year and they may or may not have a significant number of projects the following years. So, as we look at our business model you are going to see a lot of wind developers or GC’s come in and out of that top ten quarter-to-quarter depending on what they have going on. I think Tetra Tech’s been pretty vocal about the jobs that they were doing for Pacific Corp. So, we were obviously supporting them on those jobs, but I think over the course of the next couple of years, you are going to see a lot of new names and old names come back and forth in and out of that top ten.
Alex Rygiel - FBR Capital Markets: Staying on the wind topic, since the passage of the stimulus bill; how have your conversations changed with your wind customers? Do they seem more excited? Are they letting out bids?
Jose Mas: Yes, we’ve seen a dramatic increase in activity, obviously the end of last year and beginning of this year. Activity was slow, for lots of reasons, many of which we laid out today. Slightly before the stimulus package was passed and the initial drafts were out there, we saw a dramatic increase in our customers reaching out to us both in terms of getting pricing, getting a feel for projects in different geographies and what pricing would look like in those. So, there’s no question that in the last six to eight weeks we’ve seen a dramatic shift in the activity.
Alex Rygiel - FDR Capital Markets:
Jose Mas: We expect to get our fair share of projects. Obviously, we are smaller in that arena than others, but we expect to be a participant and we expect to be a participant in Texas as well as a couple of other geographies.
,: We expect to get our fair share of projects. Obviously, we are smaller in that arena than others, but we expect to be a participant and we expect to be a participant in Texas as well as a couple of other geographies.
Operator: Your next question comes from Michael Novak - Frontier Capital.
Michael Novak - Frontier Capital: My first question is the incremental $5 million in amortization associated with Wanzek, I assume that’s your amortizing the backlog. So, how quickly would you expect that to burn off?
Bob Campbell: There is two and three calculations in the intangible backlog, that’s one and it burns off, basically over a year or two over the duration of the backlog, but in addition to that, we generally have things like trade names and customer relationships that may be amortized over 10 to 15 years. So, one part of it does draw off rather quickly and I think there is a table in the 10-Q that shows $9 million for ‘09 and only roughly $7 million for 2010 and then after that it drops off, it continues to drop off.
Michael Novak - Frontier Capital: Then Jose, when would you expect the least interest and activity that everybody is talking about in the wind industry to start to translate to increase business levels?
Jose Mas: I think two things, Mike. One is; I think you’re going to see a lot of projects that were in process that will be sped up. So, in other words, a lot of people were holding back on projects to see what the stimulus did and how they could best angle themselves to get as much out of the stimulus as possible. In those cases, we’ve actually already been awarded projects, since the passage of the stimulus bill. In terms of really seeing enhanced activity across the Board with new projects, the bidding activity, aside from just the RFQ’s and pricing, actual bids and negotiations are underway and we think we’re going to see awards shortly.
Michael Novak - Frontier Capital: Have you included the impact of that in your guidance or would you say that your guidance was sort of steady state of the business prior to the stimulus bill passing?
Jose Mas: No, I think that when we did our guidance, we did not include the stimulus. The stimulus wasn’t even on the Board, when we originally issued guidance. I think that we’re not anticipating in our guidance a dramatic increase in activity levels. Obviously, there are a number of projects that we expect to do in 2009 based on what our customers have told us for months. There is no question that those projects even though, we think that would have happened anyway are going to be helped by the stimulus. So obviously, normal activity is included in our guidance, but enhanced activity based on the additional work that the stimulus brings is not necessarily in our guidance today.
Michael Novak - Frontier Capital: Could you talk a little bit about from a geographical perspective the positioning of Wanzek, which is stronger in the upper Midwest versus the Texas market and your opportunity to improve their positioning in the Texas market going forward?
Jose Mas: Yes, just a couple of points. I think A, we feel that we can do a project anywhere in the United States and do it effectively, efficiently and perform at a high level for our customers. So, I think that’s the most important point. We think we can do work anywhere, but there is no question that historically, Wanzek has had a better reputation or more of a reputation as being in Northern Midwest contractor than they have is being a Southern contractor and what we’re seeing in the wind industry today is a shift, where the projects are going. So historically, Texas has been by far the largest producer of wind because of the very public transmission issues that they have in Texas a lot of developers are now moving their ‘09 and ‘10 plans out of Texas and into other areas, which happen to benefit Wanzek in a greater way because of their strong reputation in some of those markets. So there’s no question that’s going to have a positive impact on us, but our challenge is really going to be positioning all of MasTec in a way where wind developers across the country feel that we are a viable alternative to do their projects.
Operator: Your next question comes from Liam Burke - Janney Montgomery Scott.
Liam Burke - Janney Montgomery Scott: Jose, Bob pieced together between the income statement, your working capital and capital budget, a fairly strong free cash flow profile for 2009. What would be the priorities based on your current outlook for the uses of that cash?
Jose Mas: Well, first it feels great to be in that position. Second, I think as we look at the end of 2007 going into 2008, we knew that we had a tall order. We knew the things that we wanted to accomplish. We knew the businesses that we wanted to get into and we knew that to achieve our goals. We’re going to have to be acquisitive, which we obviously were in 2008 and I think we did it very successfully. At the end of 2008 going into 2009, obviously I think we’re in a very different position where the deals that we made, the acquisitions that we made have really positioned us for some what we think are some fantastic organic growth opportunities, which we’re really going to develop and hopefully execute on it. So, we go into ‘09 with different priorities. We go into ‘09 knowing that we don’t necessarily have to do acquisitions, knowing that we’re going to build a nice war chest. Also knowing, we really there is no debt to pay off because there is no maturity. So, with the exception of our normal course equipment financing, all of our debt doesn’t mature for years. We don’t envision ourselves paying the debt off early. So, we are going be in a very privileged position of generating cash and having a cash balance that’s growing. I’d say that in 2009 we are going to be very opportunistic, so to the extent that we think that there is any deal out there that really benefit the company and put us in a different strategic position. In terms of an industry that we want to go after or an industry that we want to continue to grow into. We will look hard, but I think we are not in a position where we have to do something. We’re in a position where, we can really be choosy and do nothing if we want or ultimately do something because it’s just such a great deal.
Operator: Your next question comes from Eric Kainer - ThinkEquity.
Eric Kainer - ThinkEquity: As far as Wanzek in the fourth quarter, it sounded like that did roughly a $130 million of pro forma, obviously $26 million round up in your income statement. What should we expect that will add on a quarterly basis for OpEx?
Jose Mas: So just to clarify that number Eric, the Wanzek did about a $100 million in the fourth quarter. So, obviously $26 million the MasTec reported and between the months of October and November, they did roughly 75. Wanzek as Bob stated, is seasonal. So, if you’re able to see Wanzek’s historical results, you’ll see that they actually have a very slow first quarter, mildly picking up in Q2 with a very strong Q3 and Q4. Just to put it in perspective, in their Q3 of 2008 they did roughly a $150 million in revenue. So, there is no question that it’s a seasonal business. It’s seasonal because of the geographies they’ve traditionally covered and one of our challenges is going to be to make them less seasonal and really try to get them to pick up more work to have stronger Q1s and Q2s, but I think as you look at the business, it’s going be a slow Q1, modestly picking up in Q2 and then extremely strong third and fourth quarters. With third quarter being their highest revenue quarter of the year and I think that’s a lot to do with their geography.
Eric Kainer - ThinkEquity: I’d assume though that the OpEx is relatively more consistent quarter-to-quarter. Should we expect that effectively the operating margins and the gross margins are maybe a little bit higher than historic MasTec we going to back in to the OpEx number then?
Jose Mas: Obviously, we’ve published our results separately, so you can see that. There is no question that their margin profile is better than historical MasTec numbers. I do think that their margin trends though do follow their seasonality of their business. Q1 is a difficult quarter for them, while Wanzek was obviously accretive for us, even in the month of December. As we look at Q1, Wanzek’s actually a little bit diluted to earnings. So, as we look at the year again, the mix is going to follow, Q1 will be weaker, as Q2 goes in and they really starts to ramp up margins get significantly better, Q3 margins get even better and they actually have very good margins in Q4 as well.
Eric Kainer - ThinkEquity: On wireless, obviously it sounds like you’re queuing for a lot of growth there although, obviously of to a slower first quarter. I think we’ve heard that from all the guys who are exposed to wireless construction. Have you picked up contracts with any other service providers outside of AT&T there that are of a material level?
Jose Mas: We do to work for other customers, not necessarily. Obviously, AT&T is going to be a big customer of us in the wireless sector. So, at this point no one customer really makes up a material number. Although, we expect that and hope that will change. We stated today, we picked up eight states for AT&T. Obviously, their CapEx numbers are very public and I think one of the positive trends that we will see in the industry is that the big players are going to continued invest heavily in their wireless network; as those are really the assets that are growing for them from both the revenue stream and income stream. So, we think we’ve got significant geography. We think we’ve got a fantastic geography based on customers and trends. So, we think that we’ve said in the past we expect that business to do well over $200 million in 2009. We sat with our customers, gone through their budget and our expectation continues to be that we will do well over $200 million in 2009.
Operator: Your next question comes from John Rogers - D. A. Davidson.
John Rogers - D. A. Davidson: Couple of things, first of all, Bob did you say what total D&A was expected to be for 2009? I’ve got the depreciation numbers and or the amortization number.
Bob Campbell: Yes, just give me a second and I’ll give you a good estimate of that.
Jose Mas: Do you have another question?
John Rogers - D. A. Davidson: Yes and then the second thing is, can you give us a sense of the backlog $1.7 billion? How that’s broken down between wind, gas and some of the wiring structure?
Jose Mas: John, we haven’t broken it out. What I can do is, try to take you through time of where that’s historically been. If you look at Q4 of ‘07, it was roughly $1.3 billion, it stayed pretty steady throughout the first quarter, second quarter and third quarter of ‘08 at roughly $1.4 billion and it’s obviously $1.7 billion at the end of the year. Some of it is obviously driven, if you look at the growth from Q3 to Q4, obviously we made the Wanzek acquisition in that period. So, I think that’s a significant piece of that increased level, but I don’t think there has been much of a change in the mix of our backlog from where it’s been historically and from where our revenues are as a percentage of total revenues for each business.
Bob Campbell: The ‘09 depreciation should be in the range of $35 million to $38 million based on the CapEx that I talked about and just as a point of information that was $25 million for the actual for ‘08.
John Rogers - D. A. Davidson: Okay and then $9 million in amortization?
Bob Campbell: Correct. Up from about a little under $4 million in ‘08.
John Rogers - D. A. Davidson: Okay, sorry back to the backlog for a second. I guess what I’m trying to understand a little bit is just the relative risks that are contained in there. I mean, is it fixed price contracting or is it all the materials plus on some of these larger projects? What’s kind of your margin risk exposure there?
Jose Mas: Yes, so what we include in backlog are in our MSA contracts, we take a look at where we currently are in that business and where we expect revenues to be over the 12 and 18 month period. So, if we see revenues declining, obviously the backlog relative to that contract reduces. We include all project revenue for those projects in which we have a signed contract. We do not take a lot of material’s risk. We almost don’t take any material risk. We bid for a project. We give our customers a price for that material. We backstop it with whatever material vendor is providing that material. So we don’t have, especially in our bigger contracts, we don’t have long open ended contracts that are exposed to changes in material prices. If you look at even at our project work both in the natural gas pipeline and even the wind sector; we don’t have multi-year projects. We don’t have projects where we are going to be on the same project for two to three years and are susceptible to a lot of changes in the environment. Most of our work is short-term, in six months or less. Some of the wind projects go on to 9 to 12 months, but that’s really our longest project is still probably under 12 months in any given period of time.
John Rogers - D. A. Davidson: Okay and in terms of pricing pressure in those markets? Some other contractors have talked about the increased price pressure, pushback over to fixed price contract. Have you seen any of that?
Jose Mas: We haven’t. There is no question that; in general write a lot of prices have come down from a material perspective. So, as you’re contracting new work, from an owner’s perspective, the prices are coming down that’s absolutely true, because a lot of the raw material’s prices have come down. From a labor perspective, we haven’t seen significant pricing pressure and each business is different. So, we are not going to say we haven’t seen any because we’ve seen some, but for the most part prices have held pretty steady.
Operator: Your next question comes from Simon Leopold - Morgan Keegan.
Simon Leopold - Morgan Keegan: Thank you. I wanted to see, if you could just clarify first off the expectations for the basic and diluted share count for the first quarter?
Bob Campbell: The share count at year-end, the actual share count was 75,000,455. That’s the basic and I think for the fourth quarter, we had 744,000 shares of common stock equivalence in the diluted calculation and then if converted on the Wanzek convertible note is 4,583,000 shares relating to that and then anything else would be an increase in the stock price causing common stock equivalence to go up or any exercise of stock options.
Simon Leopold - Morgan Keegan: I wanted to take a look at what’s going on in gross margin. In the fourth quarter it was a bit lighter than we would have expected particularly given low fuel prices. Just wondering if you could talk to what’s going on with gross margin particularly around utilization of your staff and how that might jump around relative to revenue and sort of new seasonality? Thanks.
Jose Mas: Simon, at the end of the day we talked about, the last couple of years about the real focus point for our business and the way we manage the business really comes down to operating income and pretax income. I think as we look at the different businesses that we’ve acquired, the gross margin profile is actually extremely different. If you look at our SG&A has comedown nicely over the last couple of years that has to do with some businesses that also have very low SG&A rates. So, thus on a lower gross margin rate they’re still making very attractive pretax margins. So, I think that at the end of the day we’ve laid out for two years now what we think are very achievable targets from the pretax income perspective of 6% to 8%. We continue to strive to achieve that, part of that will continue to come from scale and part of that will obviously come from productivity gains that will show up in the gross margin line.
Simon Leopold - Morgan Keegan: But, is it fair to assume a similar gross margin in Q1 versus Q4 even though the revenue was down?
Jose Mas: I think as you look at historically Q1 had the lowest gross margin of the year. I think that is probably continues to be a fair assumption. If you look at the first quarter of last year, SG&A was obviously a lot higher than SG&A will be in the first quarter of ‘09. So, while pretax margins will be somewhat similar. So, we’re probably expecting a slight dip in gross margin, Q1much like what you saw in Q4.
Simon Leopold - Morgan Keegan : Great and just one last one. You gave us I think some helpful insight to understand the seasonal patterns, of Wanzek and Nsoro and if I just layer this on top of your full year guidance, it sounds like you’re anticipating roughly $1.2 billion in the second half of the year. Just want to make sure I’m thinking about, how you are discussing these trends correctly? Thanks.
Jose Mas: Roughly those numbers are close. I think if you look at where we would have been in fourth quarter with the Wanzek revenues added it was nearly $500 million. We expect this fourth quarter of 2009 to be actually stronger than the fourth quarter of 2008. I think the picture in the third quarter would have been significantly higher. Our third quarter revenues were roughly $400 million. We said the Wanzek’s were roughly $150 million. So, that was about $550 million. So, on a pro forma basis we were close to a $1.1 billion this year in 2008. So, I think as you directionally look at 2009 that’s roughly in the ballpark.
Operator: Your next question comes from Penny Alexandra- Pritchard Capital Partners.
Penny Alexandra - Pritchard Capital: I have a question for you on the pipe side of the business. With natural gas prices where they are, what do you see in that segment? What do you hear from clients in the new gas shale plays? Do you see new demand out there or demands is deteriorating?
Jose Mas: There is no question, even late last year going into this year activity had slowed in the pipeline business. Surprisingly, very similar to the wind business over the course of the last couple of weeks, we’ve actually seen a lot of increased activity in terms of new projects both going in for proposals and bids and negotiations, a lot of them related to the new shale plays, so we’re seeing most of that work continues to be around the new shale’s, which is where we’ve done all of our work historically. We went into 2009 with some very nice backlog in that business, but there is no question that business has become more challenging as natural gas prices continue to fall. We continue to be a very strongly about that business long term. We think that business will rebound nicely as the year progress, but it was a slower start to 2009 and we are seeing recently in a last couple of weeks in a lot of enhanced activity in that marketplace.
Operator: That concludes the question-and-answer session. At this time, I will turn the conference back over to Jose Mas, for closing remarks.
Jose Mas: Again I’d like to thank you for your participation on today’s call and I look forward to talking again on our first quarter call. Thank you.
Operator: That does conclude today’s conference call. We thank you for your participation.